Operator: Hello, everyone. Thank you for joining us, and welcome to the Trimble Fourth Quarter 2025 Earnings Call. [Operator Instructions] I will now hand the call over to Rob Painter, President and CEO. Please go ahead.
Robert Painter: Welcome, everyone. Before I get started, our presentation and safe harbor statements are available on our website. Our financial review will focus on year-over-year non-GAAP performance metrics on an organic basis. In addition, we will focus on adjusted numbers that we believe more accurately portray the underlying performance of our business. This means we will exclude the divested agriculture and mobility businesses as well as the 53rd week of fiscal 2024. For the fourth quarter, we will also adjust for the timing of January 1 term license renewals. As reported numbers, along with the reconciliation are provided in the appendix of our slide presentation. Okay. Let's get to it. Our fourth quarter results delivered a top and bottom line beat, punctuating a strong close to a strong year and positioning us well to deliver in 2026 and through the 2027 plan we presented at our last Investor Day. The results of the quarter and the year demonstrate the durability of our focused portfolio and the compounding returns of our Connect & Scale strategy. As shown on Slide 4, we delivered $970 million in revenue in the quarter, up 9%. For the year, revenue was $3.57 billion, up 10%. Our ARR grew 14% to $2.39 billion with a notable 16% increase in our AECO segment and 20% increase in Field Systems. Earnings per share of $1 in the quarter was up 12% and $3.13 for the year, up 10%. Both were even higher on an organic basis. Connect & Scale is both an application and a platform strategy. As Slide 5 visualizes, our applications manifest as best-in-class hardware and software solutions, whereas platform manifests through connected workflows and ecosystems. Said another way, an application solves one problem, whereas a platform connects people, data and workflows to address system complexity. Furthermore, a platform empowers an ecosystem where customers and partners can build and extend offerings and integrated workflows. Platforms get stronger and more valuable as more people use them, creating a network effect where all participants benefit. With this in mind, we allocate capital along this continuum of product development, go-to-market and the underlying systems and processes to unlock our full potential. By connecting the hardware and software of Trimble to connect the office and the field, we are connecting the physical and digital worlds. In turn, we are delivering solutions that increasingly compound customer outcomes by leveraging unique data, connected solution capabilities and our unmatched go-to-market reach. We see AI as a force multiplier that accelerates value delivery along this entire flywheel. Slide 6 illustrates the financial outcomes of disciplined execution since we began our Connect & Scale journey in 2020. We have expanded recurring revenue as a percentage of total revenue from 40% to 65%. Software and services now represent 79% of total revenue. We have expanded gross margins by 1,300 basis points, which has given us tremendous degrees of freedom to invest for our future growth while expanding EBITDA margins by 400 basis points. With this context in mind, let's turn to a review of the segments, starting with AECO. The team delivered another outstanding quarter. ARR at $1.48 billion was up 16% and revenue at $454 million was up 15%. Our ACV bookings remained strong with the team delivering a record quarter with cross-sell and upsell motions continuing to gain momentum as evidenced by net retention in our core commercial base at approximately 110%. I'll highlight 3 examples of ongoing strategic progression in project management, collaboration and visualization and AI. In project management, our decision to allocate capital here over the last couple of years is yielding results. We delivered over 40% growth in bookings and over 50% growth in ARR. Throughout the year, we added hundreds of new customers and began our international expansion. Ease of use, natively built workflow integrations and bundled selling motions are driving growth and adoption. We're excited about our growth potential in project management and have our 2026 sales motions aligned to continue to win here. Trimble Connect has transcended its origins as a collaboration and model viewer to become the unifying pillar of our construction platform strategy. Connect turns field data such as point clouds and imagery from a job site into actionable insights in the office. It also takes detailed designs from the office to the field for fabrication, layout and installation. By capturing the as-built reality from the field and fusing it with design models, we are creating the definitive digital record of the physical world. This positions Trimble not just as a tool provider but as the data platform of record for the entire built environment. With respect to AI, Hensel Phelps, whom we highlighted during our Dimensions keynote, estimates they are saving millions of dollars in labor hours with our submittals AI agent that automates processing of the data and paperwork-intensive aspect of construction. In MEP estimating, we've deployed AI to identify and count electrical components directly from construction drawings, replacing a manual takeoff process. This feature already has thousands of monthly active users and delivers over a 50% productivity gain and is generating millions of dollars of incremental ARR. In addition, we have created in-app AI assistance into many of our products, some of which are orchestrating multi-agent workflows, and we can already measure tens of thousands of conversations in case deflection rates up to 20%. 2026 will be a year where we accelerate our agentic AI releases. Stepping back to look at a set of metrics of performance and progression, Slide 7 provides a 2025 refresh on the segment composition. The key takeaways here include a well-balanced and diversified set of customers being served with each pillar of the business having greater than $230 million of ARR, a geographic split that is centric to capturing the North American opportunity while demonstrating a compelling global opportunity to expand reach and a revenue mix that is almost entirely recurring. Slide 8 goes further to give a set of annual KPI updates that mark proof points against the growth drivers we put forward at Investor Day. I'll start with 3 KPIs that demonstrate the power of the $1 billion-plus cross-selling opportunity we see in Construction, starting with the data point that only 20% of our customers currently buy more than one product, a clear sign of penetration opportunity. Next, customers with more than 3 products grew 18%, demonstrating our ability to run land and expand plays. Finally, more than 70% of our ACV bookings came from cross-sell and upsell motions, demonstrating that our customers value the breadth and depth of Trimble solutions. In addition, the significance of Trimble Connect was demonstrated by an 18% growth in the number of projects in Connect. Moving to Field Systems. The physical business of Trimble outperformed in the quarter with particular strength once again in Civil Construction. Revenue at $379 million was up 4% and ARR at $409 million was up 20%. Kudos to the Field Systems team. They did an exceptional job in 2025, demonstrating the strength of our innovation and execution and continuing to lay the foundation for Connect & Scale to differentiate at the intersection of the physical and digital worlds. I'll highlight a few examples of unique Trimble value delivery that Field Systems enables, starting with our customer, JE Dunn, one of the largest and most sophisticated North American general contractors who self-performs their concrete work. They work with Trimble software in the office to create precise 3D design models, then utilize Trimble augmented reality to see those models in context in the field. They deploy Trimble total stations to lay out these models in the physical world and Trimble 3D laser scanners to capture as-built data for quality control, all of which is coordinated through Trimble Connect to create a digital twin. This unique Trimble workflow that links work in the office and the field is driving productivity and quality while eliminating millions of dollars in rework, which in turn is significantly reducing their carbon footprint. Beyond self-perform concrete workflows, we have advanced our piling automation workflows for solar farm construction, and we developed a mass hall workflow to automate the infrastructure building process for mines as well as for large commercial and industrial sites. AI acts as a force multiplier on top of these unique workflows from AI classification of large data sets we collect in the field to analytics across transportation infrastructure, building construction, mining and utilities to optimize workflows and enable our customers to make better decisions. This isn't just a vision, we already have tens of terabytes of reality capture data that have been uploaded to Trimble Connect, and we expect to double that in 2026. Stepping back to look at a set of metrics of performance and progression, Slide 9 provides a 2025 refresh on the segment composition. The key takeaways here include a well-balanced and diversified set of capabilities we take to market from GNSS and optical surveying instruments to inertial navigation and our unique positioning services that support precise positioning and navigation to our on and off-machine Civil Construction automation portfolio. Field Systems is our most global business, and we continue to develop product and distribution to reach the global opportunity. Finally, the revenue composition demonstrates a significant milestone in 2025. The segment is now over 50% software and services and 26% of our revenue is now recurring. Slide 9 also lays out a set of KPIs against the growth drivers we put forward at Investor Day. During the year, our business model conversions continue to expand our addressable market as evidenced by the fact that approximately half of our sales of machine control as a service are to new logos. It's the same phenomenon we see with our Trimble Catalyst subscriptions, where we are reaching new users and customers with this more affordable offering. Finally, the addition of new Trimble technology outlets is expanding our reach to serve the mix fleet. Moving to Transportation. ARR at $508 million was up 7% and revenue at $136 million was up 4%. We continue to grow despite the challenged freight market. To highlight a couple of examples of Connect & Scale at work, I'll start with our unique ability to cross-sell within the portfolio. From the perspective of a customer, they don't see divisions within the business. They see a set of capabilities. And those capabilities come in the form of carrier TMS, shipper TMS, dock and yard scheduling, final mile, maintenance, mileage, navigation, fuel tax reporting, freight audit and beyond. Cross-selling looks like selling fleet maintenance into our TMS base or selling mapping into our European customer base or selling shipper TMS capabilities from Transporeon into the North American market. In parallel, we continue to natively integrate the data flows across these capabilities, and we apply AI as a force multiplier to deliver outcomes that we are uniquely positioned to deliver given the breadth and depth of the global customer base and data set we touch. Another example of being better together comes in the form of freight marketplace. In the third quarter, we announced Procter & Gamble as an anchor tenant. In December, we won the business of one of the world's leading beverage companies to manage their U.S.-based spot, mini bid and strategic procurement. By bringing billions of dollars of additional shipper freight spend into our marketplace, we believe we are well positioned to capture additional business with the leading global shippers by connecting them with vetted carrier freight capacity. Stepping back to look at a set of metrics of performance and progression, Slide 10 provides a 2025 refresh on the segment composition, which is almost entirely recurring revenue. The segment is well balanced with the carrier and shipper-centric solutions and geographically balanced between Europe and North America. During the year, we expanded the power of our multisided marketplace as evidenced by the addition of over 10,000 carriers and over 100 shippers. We also demonstrated the ability to grow our existing customers as evidenced by double-digit growth of Transporeon customers doing more than EUR 1 million of ARR and MAPS and Enterprise customers doing both $100,000 and $1 million in ARR. With that, Phil, I'll turn it over to you.
Phillip Sawarynski: Thanks, Rob. Let me start with capital allocation, which remains disciplined and consistent. During the fourth quarter, we repurchased approximately $148 million worth of shares, a direct reflection of our confidence in the long-term value of our business and our commitment to delivering shareholder returns. We retained a substantial $925 million under our current repurchase authorization, which gives us flexibility for opportunistic buybacks. Longer term, we continue to expect at least 1/3 of our free cash flow to be used for repurchasing shares as we look to provide returns for our shareholders. Our M&A strategy remains focused on strengthening our core market positions. We continue to screen for opportunities in high-growth capabilities that we integrate into our platforms, primarily in construction software with an emphasis on tuck-in acquisitions. Let's review the fourth quarter of 2025, starting on Slide 11. We delivered organic revenue growth of 9%, which exceeded our outlook, driven by the continued strength of AECO and Field Systems and with Transportation & Logistics demonstrating resilience and positive growth within a constrained freight market. ARR was toward the top end of our outlook at 14% to a record $2.39 billion. The continued growth in our recurring revenue base provides a predictable and resilient foundation for our business. Gross margins expanded to 74.6%, and we achieved EBITDA margins of 33.5%. Both were aided by January 1 term license renewals. Reported earnings per share was $1 for the quarter, $0.05 better than the midpoint and above the high end of our guidance. Our 2025 full year results serve as validation of the progression of our financial model and confidence that we are on a trajectory to deliver our long-term model as presented at Investor Day of $3 billion in ARR, $4 billion of revenue and 30% EBITDA margins in 2027. For the full year, organic revenue growth of 10% surpassed the high end of our outlook. Gross margins expanded 150 basis points to 71.7% and EBITDA margins expanded 150 basis points to 29.3%. EPS for the year was $3.13 and above the high end of our guide and well above our long-term model of low to mid-teens growth when adjusting for the Ag divestiture. Moving to the balance sheet and cash flow items on Slide 12. Our year-to-date reported free cash flow remains strong at $361 million when considering the $307 million of tax payments and other costs primarily related to divestitures. We exited the year with a strong balance sheet that provides financial flexibility with $253 million of cash and a leverage ratio of 1.1x, which is well below our long-term target rate of 2.5x. Moving to a segment review of the numbers. Let's start with AECO on Slide 13. AECO continues to perform and exceeded expectations with a record $1.475 billion of ARR, posting 16% ARR growth and 15% revenue growth for the quarter. Operating margin was at 44% and was aided by January 1 term license renewals. For the full year, both AECO revenue and ARR grew at 16% and operating margin was at 34.2%. Next, Field Systems on Slide 14. Revenue was up 4% in the fourth quarter while absorbing model conversions to recurring revenue. The continued execution resulted in another strong quarter of ARR growth at 20% and operating margin was 30%. For the full year, revenue was up 5%, ARR up 20% and operating margin expanded 100 basis points to 31.1%. Finally, Transportation & Logistics on Slide 15. In a freight environment that remains muted, the segment delivered revenue growth of 4% and ARR growth of 7% for the quarter. Operating margins were at 22.9%. For the full year, revenue grew 5%, ARR grew 7% and operating margin was at 22.9%. Operating margin for both the quarter and the full year were slightly down year-over-year, primarily due to stranded costs related to the Mobility divestiture. Turning to Slide 16. Let's look ahead to 2026. The midpoints of our 2026 full year guidance are $3.86 billion in revenue, which represents approximately 7.5% growth and $3.52 EPS. We expect ARR growth at 13% and EBITDA margins to expand approximately 50 basis points to 29.8% as our model delivers strong operating leverage while allowing us to reinvest for future growth. From a cash flow perspective, we expect free cash flow to be approximately 1x net income and that we can deliver free cash flow greater than the non-GAAP net income over the long term. Slide 17 breaks down these metrics by segment. The trajectory across all 3 segments remain fully aligned to deliver the Investor Day company targets for 2027. Finally, regarding our first quarter outlook on Slide 18. Our revenue midpoint at $905 million, which is approximately 8% growth, EPS midpoint at $0.71 and ARR growth at 13%. We expect EBITDA margins at 26.6%, which is a 70 basis points expansion year-over-year. Back to you, Rob.
Robert Painter: Thanks, Phil. I'll close with a reflection on the compounding benefits of our Connect & Scale strategy. The fruits of what we see today are the result of years of past work by the Trimble team. Unlocking the power of compounding takes patience and conviction to be just a little bit better every day. The strength and momentum we carry into 2026 gives us confidence that we have yet to see the biggest gains for what's possible when we connect people, data, workflows and ecosystems and construction and transportation. That same principle of compounding applies to our financial returns, and that flywheel is turning. My gratitude to the Trimble team and partners as well as our investors who continue to support our strategy. Operator, let's open the line to questions.
Operator: [Operator Instructions] Our first question comes from Jason Celino with KeyBanc Capital Markets.
Jason Celino: I wanted to ask about the Field Systems ARR growth. It's really impressive to see it accelerate to 20%. Maybe can you speak to some of the strength you saw in the quarter? And then when we think about guidance, it's assuming kind of deceleration in 2026 to that low to mid-teens. Is that just a function of tough comp? Or is there some dynamic with kind of the transition we should know about?
Robert Painter: Jason, it's Rob here. With the growth in the quarter, and you're right, it was impressive growth from the team. We continue to see strong performance in the machine control guidance as a service. We continue to see growth actually in providing corrections into the automotive market and Geospatial, we see growth in our Catalyst, which is positioning as a service. The software conversions continue to drive growth really across the board strength. Relative to the guide in 2026, there is a lapping effect as we've started the conversions and have been early in them, there's just a natural mathematical effect on that. So really continue at the fundamental level to expect to see strong growth in that. And when you up level to the segment level, Field Systems crossed a threshold now of being over 50% software and services for the year. So very happy about that.
Jason Celino: Okay. Wonderful. And then the construction and architecture industry seems very suitable for agentic given the many stakeholders and historically siloed processes. But the industry has historically been pretty slow at adopting technology. Can you discuss how you think the industry will ramp adoption of agentic and how that might compare with maybe other industries? And then as Trimble launches these new agentic features, how are you're looking to monetize them?
Robert Painter: Good question. We think that Trimble platforms are the exact right place for customers to adopt the agentic workflows that we can enable, let's say, as opposed to doing them outside of a Trimble platform. So we're already that system of record that becomes a system of intelligence. We already have a unique data set resident inside of Trimble that customers want to unlock. And when I spend time with customers, increasingly, they're talking about how do they unlock more out of the data they have and how do they get AI usage on top of that data to help them address, let's say, the challenges and the opportunities that exist in the industry. So we think the best way to speed up the adoption in the industry of agentic AI is doing it on top of the existing platforms and solutions that they're already buying from us where we have that trusted relationship and a unique and I think proprietary data set upon which to build.
Phillip Sawarynski: Jason, this is Phil. Just to add -- sorry, you had asked about the monetization. So one thing I'll point out with SketchUp, we introduced some new AI agents and what we've started to do is actually include credits. So as you use the agents, you apply credits against them, early stages. But as we think about the monetization is moving a little bit more into that consumption as well.
Operator: Our next question comes from Josh Tilton with Wolfe Research.
Joshua Tilton: Congrats on a strong end to the year. I'll start with a pretty high-level one, maybe for next year. I think coming into this year, there were some puts and takes on some conservatism in the guidance for '25. How do we think about what those puts and takes are for the guidance that you just set for '26? Maybe a little more specifically, like what are you assuming for the macro? What are you assuming around Fed? Like how do we think about some of those inputs in the outlook for this year?
Robert Painter: Josh, thanks for the question. I'll start, and Phil, you can add on. 2025 was clearly a very strong year of progression for us strategically, operationally, built on what was also a strong 2024. When we think about 2026, we're also thinking about that in a longer-term context through the 2027 model we put forward at Investor Day. At a macro level, don't really see any fundamental differences in the market. So we're expecting and planning really a pretty consistent environment that's out there, and we can talk through the puts and takes on that. That includes, for example, at the U.S. federal government level, really a very muted amount of business there in Transportation at the macro level, expect to continue to see a more challenged freight market. And if we look in Construction, we see pockets of strength in data centers and infrastructure build. We see it in shipbuilding. We see it in onshoring, reshoring of manufacturing. And really, those are trends that we've been seeing here for the last couple of years. So we continue to progress the strategy. We take that forward into the guide. And inside that guide, we want to make sure we leave ourselves room to operate the business comfortably and to be able to reinvest back into the business, and that flows in then to our point of view at both the ARR growth, revenue growth down through the op margins.
Joshua Tilton: Super helpful. And maybe just like one more bit of a narrow follow-up. In AECO, I know the deck says over 70% of ACV bookings with existing customers. But when we think about, I guess, just under 30% of ACV bookings coming from new, where are those new customers coming from? Like why are they choosing you over the competition? And maybe just remind us what did that look like in the past?
Robert Painter: Let's start with where the customers come from, where new logos are coming from. We see that in 2 dimensions. One is geographic. So we're a very global business, more than -- in AECO, more than half of it is in North America. The global -- that's a different ratio than the global construction market, which is to say we have lots of opportunities outside of North America win new logos, and we see that through the results. If you take it at a closer to a product level or even TC1 level, bundled offerings, take project management as an example, added hundreds of new customers in 2025 into the business, and that played through that 50% ARR growth we talked about in that. So you can see that on 2 different axes. Product penetration in the market meets geographic penetration. And why customers are choosing Trimble? Well, we've got 48 years now of building best-in-breed, best-in-class purpose-built solutions for the end markets that we serve and those customers that we serve. In addition, TC1, Trimble Construction One within AECO has been a strong catalyst for that adoption because when you're buying inside Trimble Construction One or you're buying inside the Trimble platform, you're buying a set of solutions that are natively integrated that are helping you solve workflow challenges and opportunities, getting after those higher order problems. And we're doing the things that we can uniquely do to connect work in the office and the field and beyond AECO connect hardware and software across all of Trimble to connect the work in the physical and the digital world. The sum of that is what's driving those bookings, both at the new logo and existing.
Operator: Our next question comes from Chad Dillard with Bernstein. Chad has disconnected. Our next question comes from Kristen Owen with Oppenheimer.
Kristen Owen: Rob, I wanted to follow up here on Slide 8. Really appreciate a lot of these KPIs and giving some visibility into this. One of the questions that I have for you, though, is if I take some of these data points around net retention, the new logos versus existing customers, and I want to roll that up into a comprehensive ARR growth algorithm that sort of points us to the mid-teens guidance that you've provided for 2026. How do I think about those individual moving parts, how much is price, how much is account accretion, et cetera, et cetera? How do we take these KPIs and really contextualize them in the guidance?
Robert Painter: Yes. Kristen, thanks for the question. So let's maybe work backwards from the guide implies a mid-teens growth in the ARR in the business, which is also, by the way, consistent with what we put forward at Investor Day. When you do the stack on net retention, you start with looking at the gross retention. So the churn is in that mid-single-digit range to begin with. When you -- now you go up the stack on that, what you can connect the dots on is that with 70% of the ACV bookings being with existing customers, that's both -- that's the sum of cross-sell and upsell. And we actually see a ratio of higher upsell to the cross-sell. So we're continuing to penetrate the existing base we have of customers. By the way, when we cross-sell into customers, that then creates the next upsell opportunity. There's a flywheel that happens with that. Pricing is relatively modest. I call that in the low single-digit range on the stack up through that net -- yes, through the stack to get to total net retention, I'm sorry, those are the sum of the pieces. And so then you see some of the other statistics on there, whether it's the number of customers using more than one product or the growth in customers with more than 3 products, those support that cross-sell, upsell part of the net retention stack.
Kristen Owen: Okay. Great. Maybe just one additional clarification there. On the activity rate, were we to see a pickup in construction activity or infrastructure activity, how would that integrate into the algorithm? And then I have a separate follow-up.
Robert Painter: Well, any additional positive inflections on overall new construction, of course, would be a positive for us. We would see it in the bookings before we'll see it in the ARR. So call that a positive that we would probably comment on into 2027 as opposed to 2026. There, we look to places like Europe, and let's talk about infrastructure in Germany, like that would be a place where we look out for additional business. Another submarket would be residential where that to turn for the positive, if we see interest rates go down and then the residential market come back, that could be a positive that we would see -- I think we would see that more in 2027 than we would in 2026, and we would see that both in AECO and Field Systems. So that's the -- I guess, how I think about the activity rate. I think you said you had one other follow-up.
Kristen Owen: Yes. Sorry. The other follow-up here is the AI question. Maybe just framing it in terms of the context of how your customers are looking to adapt their business models. I mean we've heard some large integrated E&C customers publicly discussing their ambitions to bring in their own AI-enabled solutions. So I'm just trying to understand where Trimble sits in that discussion. That's my follow-up.
Robert Painter: Yes. I start with trillions, billions, millions and thousands, trillions of dollars of construction run through Trimble, tens of billions of freight run through Trimble. We have millions of customers of Trimble software and hundreds of thousands of instruments and machines in the real physical world operate on Trimble. So we're quite -- we have quite a presence in a global sense. If I think about segmenting a customer base, we have everywhere from, let's say, small customers all the way through the largest enterprises in the world. And I think as you move along a stack like that and the customer segmentation, you'll have customers that have naturally different levels of, let's say, AI ambitions that they can put forward and kind of resources they can even dedicate to that. I mean there's no question that customers, especially as you move into the large enterprise customers, are looking to unlock more efficiency and more insights out of the data and then to see AI as a force multiplier to help unlock that data. So much of what we do at Trimble is that core system of record, system of intelligence. We operate the common and connected data environment with Trimble Connect. So there's naturally an enormous amount of data from the physical and digital world that's resident on Trimble, and we see our customers looking to unlock the potential based on the data they already have with Trimble. And then I should also say in connecting non-Trimble data into that. It's a fragmented industry. It's a fragmented -- relatively fragmented technology landscape as well. So thus, we have a posture and a bias of being open to third-party solutions to enrich the data sets and therefore, to enable the customers. So we see ourselves as really the logical extension of our customers' AI ambitions to build and extend that on top of Trimble. Separately, will customers take their own, let's say, AI initiatives to leverage data they have from Trimble? I absolutely think that they will do that. And that's our opportunity to build more of those agents and those agentic workflows on top of it so that our customers don't have to do it themselves. So we see all of this as a net opportunity for us.
Operator: Our next question comes from Jonathan Ho with William Blair.
Jonathan Ho: Let me echo congratulations as well. Given your changes in mix to recurring, how do we think about sort of the broader convergence between your ARR growth and overall revenue growth given that mix shift? And what are some of the puts and takes for that to happen?
Robert Painter: Jonathan, thanks for the question. At the mix level, I think it's easier to take it through the segments because AECO has really converged as has Transportation & Logistics. So I would think of those as having converged the ARR and revenue growth rates. I mean it could be plus or minus 100 bps or so, but I call that in the noise. So you really isolate then to Field Systems where there's a spread between the 2. And in that respect, you can see it in the numbers when with the revenue in the business being $454 million in the quarter -- or sorry, excuse me, $379 million in the quarter, and you see the ARR at $409 million. So over $1.5 billion for the year of revenues. In other words, it's a smaller portion of the segment. It's in the mid-20s ARR as a percent of total revenue. So we continue to drive conversions in Field Systems, both software conversions because that's where you'd see the perpetual software that we have and then Field Systems continue to drive those conversions to recurring, but also importantly, the hardware aspects of the business. And we're talking about 150 bps or so of headwind in Field Systems through the conversions, and we continue to expect to see that into 2026. And I think we'll be talking about the same thing in 2027, and we'll, for sure, going to stay stable course.
Jonathan Ho: Got it. And then just in terms of agentic AI, I just wanted to ask more broadly whether you see sort of stronger adoption in your base in 2026? Does this maybe look like a turning point? And how does your margin structure look like for sort of agentic AI revenue relative to SaaS revenue?
Robert Painter: I think the strategic adoption in our customer base in 2026 will, for sure, correlate to the rollout we have of agentic AI capabilities. And I think you're going to see a lot more from us in 2026. So much of what we've been doing, call it, the last 18 months, I'd call it more of the infrastructure building and beta applications out. And Phil mentioned an AI capability a few minutes ago. So we have capabilities in the market, but actually not a lot relative to what's in the pipeline for us. So what you're going to see us releasing this year, we expect to turn into adoption in the customer base. And then building on Phil's earlier comments on the monetization, we're going to expect to see more consumption in that. We also monetize through the tiers, the tiered offerings like good, better, best tiers. And so we've put AI capabilities in those best of the tiers. So we want to incent and motivate adoption at that level. So there's a hybrid of where it's both recurring and consumption. And we're still learning here how to get that mix right. Relative to the margins and say, the incremental margins, of course, AI, agentic AI, generative AI does have a variable cost associated with it. It's not for free. So the unit economics are, of course, different in an AI forward world, which, by the way, we think is something that favors the position that we have as a company and having capabilities like within Transporeon. It was already a consumption model. 60% of that revenue through Transporeon is consumption, 40% is subscription. This is a muscle that we already have in the company. So we're not starting from scratch and having to learn how to do consumption. So again, just to summarize, a mix of within the subscriptions as well as consumption.
Operator: Our next question comes from Nay Soe Naing with Berenberg.
Nay Soe Naing: The first one I have is around the agentic AI rollout that's coming through later this year. Really excited about them looking forward to them. I'm just wondering, are there any particular areas within the software portfolio that you would focus on these AI agents between AECO and T&L and then even within AECO, which stage of the life cycle, construction life cycle that you would look to focus on?
Robert Painter: Thanks for the question. Yes, I think you're going to see more coming out from us in 2026. You hit it correctly within AECO and Transportation & Logistics. If we think about the life cycle or the parts of AECO where you might expect to see more or less coming from us. Actually, it's across the board is the punchline. And I really wouldn't say it's concentrated in any one part of the business. And I'd say pretty similar within Transportation & Logistics. There are so many opportunities we see where to apply the technology and the capabilities. And so I think you're going to hear pretty broad applications from us. And in many respects, I just think of AI as that force multiplier. It's an extension -- it's a natural extension of what we're already doing to help our customers deliver the work better, faster, safer, cheaper and greener. So it's really just embedding it so much into the work that we already have and to accelerate outcomes for our customers. And by the way, that's very customer-facing. I should also say, internally, we have an enormous amount of work on as well to help us optimize our own internal operations, whether that's in R&D, whether that's in customer service and customer support, whether that's in driving marketing workflows to enable the sellers to grow the pipeline that we give to them. So internal, external facing [ use ] is pretty broad-based.
Nay Soe Naing: Got it. That's really helpful. And my second question is also again related to AI. I was wondering if you could share with us the technology infrastructure readiness for these AI features kind of similar to the investments that you've made in your technology stack to be cloud-ready, the investment you made in the last few years. Would you need to do similar level of investments in the technology to be AI-ready going forward? Or are you already quite there?
Robert Painter: I think we're already on a path with the technology readiness. I mean we're going to continue to invest in that. And inside the guide that we put forward in that operating leverage is we've left ourselves room to make sure that we're continuing to innovate in the solutions and then within the platform capabilities of Trimble. I think the very good news is we're not just starting on this. So we've been investing the last couple of years. So there's a run rate aspect to this. And a lot of what we've been doing in the last couple of years, I would really categorize it more as having built the infrastructure, the wiring, the plumbing an agentic platform upon which we can, at a more scalable level, build the actual agentic workflows. So there is a good amount of laying of pipe and wire that we've been doing really a lot in 2025, much more so than 2024, which is why we believe we're positioned to be able to accelerate releases in 2026.
Operator: Our next question comes from Tami Zakaria with JPMorgan.
Tami Zakaria: I'm sorry if I missed it, but I wanted to get an update on TC1. Could you remind us if it's available globally everywhere now? And are all software solutions in AECO are on it? If not, what's the time line?
Robert Painter: You were breaking up a little bit, but I think I got the gist of the question. So TC1 continues to -- Trimble Construction One continues to be a strong driver of the growth in the business, both the bookings. We see the majority of the ARR that we have today in AECO is under a TC1 agreement, which means it's a commercial framework agreement. We have rolled TC1 out into Europe. I'd say we're still in motion in Asia Pacific with the rollout of TC1. So there is some more geographic expansion that we'll continue to do, which also gives us confidence in the path forward for the growth in the business. And so much of what TC1 does is that commercial framework is it eliminates friction from the next level of cross-sell that happens. So under a TC1 frame, you may just be buying one product. You may be buying 1 or 2 initially within a prepackaged bundle that we have. Once you've got that frame agreement in place, you've got one [indiscernible] that term and conditions. So the ability to then come by the next application that we have on the Trimble becomes a lot easier, both for the sellers as well as for the customers because of that groundwork that's been laid. So it's a very positive aspect of the business and still has a lot of room to run for us to grow.
Operator: Our next question comes from Rob Mason with Baird.
Robert Mason: Rob, you had already discussed the burden -- model conversion burden you're carrying in the Field Systems business. But I recall coming into the year as well, we talked about a headwind from just changes in the Cat JV. But machine control was very strong throughout the year. I'm just curious, was that -- it was a couple of points headwind expected. Was that the actual experience? Did that play out? And how does that carry or not into this year '26?
Robert Painter: Rob, thanks for the question. The short answer is yes, it played out as we expected. I mean it was entirely around software conversions and entirely in addition to like the machine control guidance as a service. By the way, we call it Works Plus. It's what we call it on to customers. And it's been just as successful, actually more successful than we expected. And that drives some of the headwinds through those conversions into the revenue. But there's also something that I'd say on top to me, which is positive, which is that it really is not a headwind, it's incremental with the conversions. And that is when we look at the machine control guidance offering, we see that -- we've seen that 50% of the wins that we get are to new logos. That's an addressable market expansion. And that's not a headwind to the growth because that's incremental business that we're getting. And so that really was also part of the upside that we saw within the ARR growth versus what we had in the year. So really enthusiastic about where we see these business model conversions helping us expand both customers and then usage within customers and penetration within those customers. So there's really kind of a double positive embedded in with that. And then last thing I'll say when we do these model conversions, it makes it easier to bundle additional hardware and software capabilities together. So let's say, you're a customer doing civil estimating and you want to link that to your ERP, which we also do, and you want to link that to the machines you have it on the field, which we also equip with technology. You make it a lot easier to come in with a bundled offering that can cross between that office and the field. And then it shows up for us in 2 reporting segments of AECO and Field Systems. But of course, from a customer's perspective, it's just Trimble.
Robert Mason: That's good insight, Rob. And then, Phil, just your overall margin guidance for '26, I would say, as I expected, when I look across the segments and the expectations there, it looks like more basis points expansion expected in the T&L segment than the other 2. You talked about stranded costs earlier. Are those -- is that reflective of getting some of those stranded costs out? And then to the extent maybe a little color, just not as much margin expansion in Field Systems if there's any investment going on there?
Phillip Sawarynski: Yes. Thanks, Rob. So yes, we anticipate with the growth in the T&L business that we can continue to put high leverage off of that business to be able to expand. There is an element of the stranded costs, as you're correct, as we enter the year. We expect to get some of that out throughout the year, which will also help with margins in T&L. And then overall, at the company level, I mentioned this for the '26 guide, we do expect about 50 basis points of expansion at the EBITDA. So as Rob mentioned earlier, what's nice about our financial model is we're able to reinvest in the business for the growth, but also show the margin expansion with the op leverage.
Operator: Our next question comes from Guy Hardwick with Barclays.
Guy Drummond Hardwick: Just wondering if you could point to any contribution to ARR or ACV from AI products, whether it's agentic AI or AI products so far, whether it's in reality capture autonomous procurement or anything else? And I have a follow-up.
Robert Painter: So we see -- if we take autonomous procurement within Transportation, that's probably the one we've talked about the most throughout 2025. It's a discrete stand-alone product that's generating double-digit millions of revenue. Phil mentioned a release from SketchUp within the Architecture business, which is obviously within AECO. The early days, but I mean, we did see when we launched in the fourth quarter, we could see the new customers we were getting is a monthly subscription for that service. Where I see it more is if we think about -- if we sort of flip the definition and we look at the percent of revenue that's got AI associated with it, now we're talking well over $100 million of business at Trimble that is enabled or somehow powered, let's say, by AI features. And I go back to that good, better, best tier that we have of offerings where we're putting more of those AI capabilities. You mentioned reality capture, which is largely within the Field Systems business. We're very bullish about that capability because you know what a surveyor is fundamentally doing is creating a digital model of the physical earth. There's an extraordinary amount of data that's collected by surveyors. And they're not collecting data for the sake of collecting data. They need to turn it into actionable information. To turn it into actionable information, that pulls that data increasingly to the cloud. And then when you get to the cloud, you want to be able to do automated feature extraction as an example off of that data set. That automated feature extraction is a form of AI, and we're able to sell that capability because of just the raw efficiencies you get through the automation of that processing of these enormous data sets. And then once you process those enormous data sets, and yes, they're AI-enabled, you're now taking that and turning that into the next downstream workflow. And this, to me, is one of the many things that is so unique about the capability set we have at Trimble is to extend that workflow from that field back to the office and then back again to the field.
Guy Drummond Hardwick: That's great. Just as a follow-up, Robbie, you mentioned a little earlier about the efficiencies of using AI internally. Trimble has shown great leverage over R&D and G&A this quarter and the full year. How much do you think AI has contributed to that? And maybe a sense of how much -- give us a sense of how much you can contribute in 2026?
Robert Painter: If we look down the stack, I would say we do see it up and down. I mean if we're -- I'll go -- I'll extend actually the question a bit. And if I look in COGS, we can see in pockets of the business in the AECO, a case deflection up to 20%. So for our folks who are working on customer support, they're able to spend time working on the higher order problems. I think we get better work out of folks as well as more efficiency out of them. If we look through R&D, 95% plus of our engineers are using the technology today, and we see double-digit increases in the productivity, which is to say we're getting more development done and that development takes the form both of, let's call it, features that are customer-facing features as well as the underlying plumbing because it's a lot of work to make sure we're able to connect the data and have the right data taxonomies and investing back into cyber and all the wiring we need to do to be able to deliver the connected workflows. And we look through sales and marketing, we record all our sellers' calls, and we're able to apply AI on top of that to be able to provide feedback and coaching to level up -- help level up the sellers and marketing AI run across the data sets we have to find and create pipeline for those sellers with an upgraded marketing technology stack that we released in 2025. That's an AECO comment when I say that. And then at a G&A level, I would say we expect a lot more to come in the next couple of years out of where we can unlock more efficiencies. We continue to invest. So while we're getting efficiencies, we're also continuing to invest. When we look at the bookings growth we have, which obviously translates into the ARR growth we have, and we think about it from a lifetime value of customer acquisition cost, that tells us to keep investing in the business, and we've got the degrees of freedom to make sure that we're building the AI platform where our customers want to come and do their work. We have both -- yes, we think about playing offense as well as defense, super aware of a competitive landscape. And we see a lot of strength and confidence in what we do, but we're also humble to make sure that we continue to invest and grow and improve ourselves.
Operator: Our next question comes from Kristen Owen with Oppenheimer.
Kristen Owen: Just a simple one here. You did guide to significant growth in your free cash flow generation in 2026. Even when we take out that cash tax payment, can you just contextualize the free cash flow growth for us? And then given what's happened in the vertical SaaS space year-to-date, how you're thinking about deploying that cash?
Phillip Sawarynski: Kristen, this is Phil. Yes. So there's a couple of elements. It obviously starts with the profit growth for the year from the free cash flow. And then we -- you mentioned the benefit we -- not a benefit, but we don't have the headwind or the usage for the taxes this year. On the other side, we do get additional benefits from the repeal of the 174 million. And so there's a little bit of less cash taxes that we have to pay that also helps with that number in 2026. And then your second question as far as the use of cash, yes, I think I'll start with a higher level of our capital allocation, how we think about that. And that's really looking at the highest returns for our shareholders. And the different elements are certainly, we look at repurchases, we look at M&A after we reinvest in the company. So we've talked about that via the P&L. So as we think about '26 going forward, I would be looking at for uses of cash, either repurchases or M&A largely.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.